Operator: The time has come to start Hitachi, Ltd. web conference on the fiscal year 2020 and second quarter earnings briefing for the media. Thank you very much for attending despite your busy schedules. 
 I would like to, first of all, give you information about the materials. IR site and news release site will have the relevant materials available for you. 
 Let me now introduce the speakers for today. Yoshihiko Kawamura, Senior Vice President and Executive Officer and CFO of Hitachi, Ltd.; Tomomi Kato, General Manager of the Financial Strategy Division; Yasuo Hirano, Executive General Manager of the Corporate Brand and Communications Division. 
 Regarding the outline of the results, we would like to have Mr. Kawamura explain. We will be switching over the screen shortly. Mr. Kawamura, please start. 
Yoshihiko Kawamura: Thank you very much for the introduction. My name is Kawamura. Today, thank you very much for attending this media briefing despite your very busy schedules. Hitachi, Ltd. second quarter fiscal year 2020 results will be explained. 
 First of all, please refer to Page 3 of the material. These are the key messages. There are 3 major points to refer to. The numbers will be presented later, but I'd like to say that IT segment is leading Hitachi's performance overall. This trend is continuing from the first quarter. 
 Overall, the 5 sectors for Hitachi, Ltd., major improvement has been made, and 105% achieved for the 5 sectors. And the number was JPY 136.7 billion improvement was made. As mentioned here, in particular, IT segment and Mobility segment was strong. And in the Smart Life segment, Measurement & Analysis Systems business maintained very high profitabilities. 
 Second point is regarding the Hitachi ABB Power Grids. We have been able to enter mergers. We have been able to execute from July. It has been proceeding very successfully. 
 In the second quarter, $2.2 billion of orders were recorded. So the plan is JPY 1 trillion for the year. $2.2 billion is down to JPY 230 billion. So we are proceeding according to plan. One quarter has been registered for the second quarter. 
 On the other hand, for the substance, there is a very strong trend. Digital and environmental orders have been received. Further detailed explanation will be made later. Software and the smart grid, e-mobility are very strong. We are making a major shift towards environmental-related business. 
 The third area is Lumada solutions. This is on a continuous trend. It is a core strategic business. We are allocating significant resources to drive growth in Lumada solutions. 
 Our core business is centering on IT business, and revenues have increased 9% year-on-year. For the related business, we are continuing to make investments to expand the business. And we will continue to make significant preference in terms of investments in this area. So that is all in terms of the key messages. 
 Please refer now to Page 4. These are numbers that I'd like to refer to you. Left-hand bar graph should be referred to. The dark gray is the revenues, and light gray is the adjusted operating income. 
 As you can see on the left-hand side, this is for the first half. And the dark gray is JPY 3.760 trillion, and the adjusted operating income is JPY 180.7 billion. And the breakdown is shown on the right-hand side, the very strong -- was strong performance was by IT, JPY 108 billion. And together with Mobility, this accounted for about 60%. And there is minus 1.9 for listed subsidiaries and minus 7 for Energy, so after ABB is included. 
 The highlight that is shown on the right-hand side, the -- highlighting IT segment and Building Systems business. The upper graph show the first two, left-hand side is the second quarter numbers. And to the right, the first half comparison is made to the last year. 
 And if you compare fiscal '19 and fiscal '20, the curve is showing the margin, and it has now improved to 13.5% in terms of adjusted operating income ratio. This is the highest ever compared to our competition dedicated to IT. This ratio is now double that of peers. So the operating income ratio is becoming very strong. And looking at the first half, if you look at the operating income ratio, it is 11.4%. You can see that double-digit has been maintained in a steadfast manner. 
 Below is for the Building Systems business. In China, business is having strong recovery, having a significant impact. On the left-hand side, we are comparing the second quarter against the previous year. If you look at the first half, in fiscal year '20, we have reached the level of 11.7%. Once again, we are showing strong profitability in this area. 
 Please now refer to Page 5. This is what I was referring to earlier in terms of the ABB Power Grids. The activities are highlighted in this business on this page. We have sharpening our winning portfolio in the middle, and the left-hand side is becoming a growth engine. The right-hand side is driving a world class execution. But they are all connected in this business. 
 Looking at the power grid growth business, the second should be highlighted, which is eco-efficient digital solution. We have received this order in Norway for eco-efficient substation. And in the middle and driving e-mobility, it should be highlighted on the right-hand side, at the very bottom, synergies with Hitachi, Ltd. has been brought to that in terms of the environmental areas in various levels. 
 Synergy meetings have been conducted with ABB, and we believe that new synergies can be brought to them. Please look at the [ attachment ] in the bottom. We are aiming to enhancing environmental value and contributing to a low-carbon society by powering sustainable energy future with the ABB Power. Together, we can enhance environmental value in a strategic manner. 
 Page 6. This is an explanation regarding the Lumada Solutions. The 2 bar graphs should be referred to. Left-hand side is the first half, comparing this year and last year. The red is the core business, the so-called IT and peripheral business are included here. A great IT-related businesses, utilizing IT, Railway Systems as well as Industry, Lumada has applications. 
 And the right-hand side is showing. And the comparison of the first half -- or rather, bottom side, there is -- for the full year. On the right-hand side, total was JPY 1.037 trillion, and now we are aiming for JPY 1.1 trillion for fiscal year '20 in our forecasts. The bright red area is JPY 66 billion and JPY 44 billion for the core business and related business, respectively. 
 The second quarter, the Lumada CapEx are outlined on this page as well. Please refer to the right-hand side. In the IT segment, we're very happy to report that we have been named a leader in 2020 for the Gartner Magic Quadrant for Industrial IoT Platforms. 
 Okay. As you can see here, on the right-hand top quadrant is the highest evaluation, and we have been chosen as a leader of the industry. There are also other companies, but 2 other companies -- but with these 2 companies, we have received a globally high evaluation because of the number of use cases as well as the flexibility in applications from the part of users have been evaluated very highly. 
 And please refer to the IT segment. We are now collaborating in the area of 5G. In the middle, this is the Mobility segment. Against backdrop of COVID-19 cash flow solutions are becoming very important. Lumada is playing a very important role in this area in the industry area. 
 We have co-creation with Alfresa. This is a wholesale medical as well as a device. There's revenues of around JPY 2 trillion. And as well as the first platform value chain has been established utilizing Lumada. Very specific deployments have been made. 
 Now please refer to Page 7. Major topics will now be reported. There are 3 in the report. 
 The first one is regarding railways. In San Francisco Bay Area, the Rapid Transit District is to upgrade its train control system in the U.S. going to Oakland. The signal control system, JPY 85 billion has been awarded. That's a major contract that has been awarded to us. In Europe, business is difficult because of COVID-19. But we are going to be increasingly focused on North America, and this is the first success that we have achieved. 
 Second area is regarding power grid. It's about JPY 1 trillion in terms of acquisition fund that has been subject to consolidation, and after that, JPY 430 billion will be refinancing because of the very high evaluation of the environmental aspects, and therefore, we have been able to receive refinancing by Growth Investment Facility of JBIC to this amount. Now in terms of the -- this is going to continue to be very strong in Environmental business. 
 And the third area is Hitachi Automotive Systems and Honda Motor Co., Ltd., affiliated companies' integration. The name of the company has been decided. It's Hitachi Astemo, Ltd. Astemo stands for Advanced Sustainable Technologies for Mobility. The schedule for integration is January to February of next year. We believe this schedule is achievable. 
 Please now refer to Page 9. This is the highlight of the results of the second quarter and the first half. The left-hand side graph is the comparison of the second quarter year-on-year. 
 And in the middle, we have the first half comparison year-on-year. Looking at the Q2 on the left, it is very clear to see that it is a reduction in terms of revenues as well as operating income. The lighter gray operating income last year was JPY 172.8 billion, that's gone down to JPY 122.4 billion. That means that 70% level is what we have been able to achieve this year. 
 Looking at the middle for the first half, again, looking at the graph, it is very clear to see. We had a decline in revenues as well as operating income. Light gray, in operating income, the first half last year was JPY 297.2 billion. This year, JPY 180.7 billion. That is around 60% of the previous year. 
 To give you a visualization, out of this amount for this first half, JPY 53.8 billion and the JPY 122.4 billion and JPY 58.3 billion (sic) [ JPY 50.3 billion ].So in the second quarter, the profit is increasing twofold. 
 And now looking at the right-hand side, what I'd like to emphasize is that cash items have improved significantly. Most specifically, the third from the top is even JPY 386.2 billion, a Y-o-Y basis, a plus JPY 95.6 billion. EBITDA below is improvement of JPY 112.7 billion, [ amounting ] JPY 612.6 billion. And cash flows from operating activities, JPY 214.4 billion, improvement of JPY 8.8 billion. You can see that cash basis improvement was very significant. 
 Next, Page 10, please. So this is the current results and listed subsidiary, which we have 2, so Hitachi Chemical and Hitachi Metal. So 5 sectors, as you see at the top, is revenue increase. This is an increase, but the income decreased. And the listed subsidiaries, both revenue and income decreased. 
 As you see at the bottom of the graph, you can see the revenues, Y-o-Y, 103%. So this is where I mentioned revenue increased. And adjusted operating income is JPY 182.7 billion, minus JPY 47.2 billion. And on the right side, you see the listed subsidiaries, 56% year-on-year. 
 And for operating income, minus JPY 69.2 billion. So both revenue and operating income declined. But the next line, adjusted operating income ratio, the 5 sector, parent basis, is 6.0%. And listed subsidiaries was impacted by COVID-19, so it was negative. But the 5 sectors are relatively strong in generating profit. 
 Next, please, Page 11. This is 2019 first quarter and this year's first quarter comparison and the difference thereof, shown in the waterfall chart. The upper half is revenues and lower half adjusted operating income. 
 In revenues, the far left, first half last year was JPY 4.221 trillion as a starting point, and divestiture of Hitachi Chemical was negative JPY 316.6 billion. But with the Power Grid acquisition, that was plus JPY 233.6 billion; foreign exchange, minus JPY 31 billion; and others, as I will elaborate, the Metals and AMS, negative -- that's negative JPY 347.3 billion. So FY '20 fiscal first half is JPY 3.760 trillion. 
 Bottom half, you can see the adjusted operating income last year, JPY 297.2 billion, and this is in line with the revenue. And in others, you see negative JPY 85.3 billion. Various adjusted items are included here, the largest of which is the decline in the business size. That was negative, and the fixed income, depreciation, so the biggest was JPY 16.7 billion, which was the downsizing of the business scale and ended at JPY 180.7 billion. So that was the first half. 
 Next, Page 13, highlights of the forecast for the full year. The left side is the revenue and right side is adjusted operating income. Revenues is up, evidenced here, and adjusted operating income is also a decline. 
 Now on the right side, the numbers that we are announcing this time is JPY 300 billion net income attributable to Hitachi, Ltd. stockholders, JPY 400 billion in adjusted operating income. So those 2 are the ones that we will be announcing this time. 
 EBIT, this is a cash item. On a year-on-year basis, this is plus JPY 402.3 billion. So we have the JPY 300 billion net income, and EBITDA will be exceeding JPY 1 trillion. So this will be an increase of JPY 433.9 billion Y-o-Y. This cash flow from operating activities will decline by JPY 60.9 billion. 
 Next, Page 14, please. Forecast by 5 sectors and listed subsidiaries. Full year has the same trend as the first half. Second from the top, adjusted operating income: 5 sectors, JPY 375 billion; and listed subsidiaries, JPY 25 billion. So both are a decline. And adjusted operating income ratio on a full year basis: 5 sectors, 5.8%; and listed subsidiaries, 1.7%. So consolidated total is 5%. 
 And next page, Page 15. So the waterfall chart. Last year, full year figure is on the far right -- far left, and far right is this year's forecast. In revenues, JPY 8.767 trillion, and then Hitachi Chemicals, Hitachi Power Grids is added, foreign exchange and the chemical and construction -- Metals and Construction Machinery, the forecast is JPY 7.940 trillion. And adjusted operating income, likewise, starting from JPY 661.8 billion, down to JPY 400 billion. 
 Next, Page 16, please. So this is a chart that we are showing for the first time. So the difference between JPY 400 billion and JPY 300 billion are shown here. JPY 400 billion, this is the target adjusted operating income, and net income will be down to JPY 300 billion. 
 So the detail is shown here. First, Hitachi Chemical and diagnostic imaging-related business, that's plus JPY 390 billion. Then Hitachi Capital impairment loss, negative JPY 30 billion. Hitachi Metal impairment loss is negative JPY 30 billion. And structural reform expenses, JPY 144 billion. EBIT, JPY 586 billion. After that, income taxes is deducted, and net income is JPY 300 billion. 
 The remainder are Appendix. I will use this in the Q&A session, but just the highlights. 
 First, Page 18, IT. The center is the adjusted operating income. The right bar graph, in the circle, you can see the adjusted operating income ratio, 11%. And then Energy. Likewise, the adjusted operating income in the center, the right bar graph, minus JPY 76.4 billion. This is because of ABB Power Grids, the structural reform, NPPA. 
 And industry -- we skip and we move on to Mobility, Page 21. In the center, adjusted operating income, Building Systems is very strong. The right bar graph, dark gray, this is up to JPY 60 billion. 
 In life, Smart Life, Page 22. In the center, adjusted operating income. Light gray is AMS. It's in a difficult situation, but JPY 22 billion operating income will be secured. 
 Next is Hitachi Construction Machinery adjusted operating income. The financial results was announced yesterday, JPY 39 billion; and margin, 5.1%. 
 In 24 (sic) [ Page 24 ], this is Hitachi Metals. Hitachi Metals is hit hard by the COVID-19, so negative JPY 14 billion operating income. 
 Page 25 is the figures by business segments. At the bottom of 26, you can see the total. Right side, the gray part, shaded part, fiscal year 2020 forecasts: revenues, JPY 7.940 trillion; adjusted operating income, JPY 400 billion; adjusted operating income ratio of 5.0%. This is the target that we will operate our business in the second half. 
 Page 27, this is by region. Clockwise, North America, Europe, China, Japan, ASEAN, India and others. China, the circle, this is the growth from last year to this year. In the first quarter, 7% growth under COVID, they are pretty much completely recovered. 
 On the other hand, North America, far left, is still struggling, minus 16%; in Europe, minus 8%; Japan, minus 14%; ASEAN, India is also hit hard, minus -- negative 21%. Overseas revenue is JPY 1.900 trillion, total is JPY 3.8 trillion. So the ratio of overseas revenue is 51%. It was 48% or 49% until recently. So now, overseas revenues account for more than half. 
 Last page, Page 28. The financial position. Balance sheet is on the upper half. Total assets at the end of last year, JPY 9.900 trillion; and this September end, is exceeding JPY 10 trillion. This is thanks to ABB. So plus JPY 685.9 billion, majority of which is thanks to the acquisition of ABB. 
 And third, total liabilities is also increasing, up to JPY 7 trillion. And on the right side, you can see the increase, JPY 1.379 trillion. And under that, interest-bearing debt. 
 ABB Power Grid acquisition is using debt. So that much higher. And cash flow from operating activities is JPY 214.4 billion. Cash flow from investing activities is negative JPY 703.8 billion. So this is negative because of ABB. And free cash flow subtraction, negative JPY 489.3 billion; core free cash flow exceeds JPY 50 billion. 
 That concludes my presentation. So second quarter and the full year forecast were explained. Thank you very much. 
Operator: [Foreign Language] [Interpreted] Thank you very much. We would now like to proceed to the Q&A session. [Operator Instructions] 
 We will now take questions. Those of you with questions, please indicate by using the Hand Up button. First question, please? 
Unknown Analyst: [Interpreted] First question -- can you hear me? 
Yasuo Hirano: [Interpreted] Yes, I can. 
Unknown Analyst: [Interpreted] Regarding IT and Building was very strong. Please give more details in terms of IT. I believe it will generate the 11%. What was the highly profitable business within IT? That's my question. 
 And regarding the Building Systems, I understand that the Chinese market was very strong. And please elaborate further on driving growth in this area. Is it a one-off against COVID-19? Or is it likely to continue going forward? Please elaborate. 
Yasuo Hirano: [Interpreted] Thank you for the question. Now regarding IT, please refer to Page 18, where the front office and the servicing platform are indicated here. And out of which, in the middle, where the adjusted operating income. If you look at the bar graph, on the left-hand side is the first half, 11.4% overall, and out of which, it includes a year-on-year comparison, but JPY 1 billion or so reduction decline. 
 So -- but in terms of ratio, it has gone up from 11% to 11.4%. This is mainly in the front business. In particular, SI domestic business has been impacted by COVID-19 year-on-year basis in terms of revenues. It has declined slightly. But project management was conducted in a steadfast manner, and cost reduction efforts continued. The effect thereof has contributed to this 11.4% profit margin. 
 Furthermore, in terms of the services and platform, revenues have declined, so it is profit has declined as well. But the structural reform has been implemented, it has not deteriorated significantly. 
Tomomi Kato: [Interpreted] To your second point regarding the building business, in Japan, we have been impacted by COVID-19. But the Chinese market has already recovered. And year-on-year basis, volume is increasing. Currently, the business is very strong for this fiscal year. I believe we can continue on this trend. 
Unknown Analyst: [Interpreted] Question regarding IT. Does that mean that there's structural reform? So I think is it one-off or this is continuous? 
Tomomi Kato: [Interpreted] In terms of structural reform, our fixed cost has declined. We believe that this is a sustainable cost reduction. 
Yoshihiko Kawamura: [Interpreted] This is Kawamura speaking. On the other hand, if you look at orders received, with the remote working touchless, our new applications that are coming to the floor, we are able to capture this business in a successful manner. Structural reform as well as cost control are contributing significantly. But at the same time, we are receiving orders in new areas, which is also contributing to this strength. 
Unknown Analyst: [Interpreted] Second question. At the time of strength, you talked about investment size in the mid-term management plan, inclusive of ABB, of JPY 2.5 trillion. Growth business was mentioned. But with the impact of COVID-19, are you reducing -- you said that you're going to be reducing your investment because of COVID-19. But based on operating profit, what is the investment size you are contemplating currently? 
Yoshihiko Kawamura: [Interpreted] Thank you for your question. As you've rightly mentioned, we did mention JPY 2.5 trillion investment under the midterm management plan, and JPY 1 trillion is ABB. So what is going to be the allocation of JPY 1.5 trillion has been debated internally over a long period of time. High-Tech business was making to 100% [ than necessary ]. 
 And in terms of investment budget, we have a set amount, but we are also managing cash flow very rigorously. So we have to make sure that we have enough liquidity under the current circumstances. 
 So we will look at the overall balance and also look for opportunities, if it comes to our attention. But it isn't as if, and under the current circumstances, we will be continuing to make investments. We have earmarked a budget, but it depends on the transactions before us and looking at the liquidity of the -- our business as well. And we will make appropriate allocation of resources, and JPY 2.5 trillion budget for investment will not be subject to revision for the time being. 
Tomomi Kato: [Interpreted] I would also like to add the following. JPY 1.86 trillion has already been used, that is the actual expenditure. 
Yoshihiko Kawamura: [Interpreted] Could you unmute again? 
Unknown Analyst: [Interpreted] Question. I have 2 questions. First is about the COVID impact. Full year and for your second half, on the operating profit basis, how big is the COVID-19 impact? What is your forecast? 
 And a related question, by sector, by operating profit, any sectors that you expect to suffer a big impact? And compared to your forecast at the beginning of the year, have you changed the forecast? That's my first question. 
Yoshihiko Kawamura: [Interpreted] So Kato would like to respond. 
Tomomi Kato: [Interpreted] So our COVID-19 impact in May, we showed you the forecast for the beginning of the year. And in July, when we announced our first quarter results, we showed the COVID-19 impact. But 6 months have passed this fiscal year. Now gradually, it is becoming unclear whether this impact is COVID-19 or other factors. And therefore, from this time onward, we decided not to say COVID-19 impact. 
 In the first half -- Page 11, please. The revenue change is shown in the waterfall chart. Others, this is the organic revenue decline. So COVID-19 is included in a big amount here. Large businesses are this decline of JPY 347 billion: the metals, Hitachi Metals and Hitachi Construction Machinery; and in 5 sectors, AMS, automotive and IT. And the ones that are suffering the market decline are the listed subsidiary, 2 companies and AMS. 
 Now in terms of the operating profit, others, negative JPY 85.3 billion, of which the product mix change and the business size decline, that is down by JPY 167 billion. So net is JPY 180.7 billion. So the operating profit decline of JPY 167 billion is due to the revenue decline, not totally from COVID-19, but for a big part. 
Unknown Analyst: [Interpreted] Question. My second question is about the T&D business that you purchased from ABB. So when you announced this acquisition, the total assets and goodwill and the intangibles were announced on a rough calculated basis. This time, you are including it in your balance sheet. So could you give us the numbers? 
Tomomi Kato: [Interpreted] Yes. So when we -- on July 1, we closed, and this is the calculation when we acquired. So total assets, around JPY 1.9 trillion, and goodwill is around JPY 410 billion. And the intangible assets -- the PPA is not completed, so this is still provisional, but around JPY 540 billion. So this is the amount we took in. 
Operator: [Interpreted] Next question, please? 
Unknown Analyst: [Interpreted] Can you hear me? Question. I have a question on Page 28 regarding finance. I have 2 questions. My first question regarding CCC. After a time -- it seems that there is a significant volatility. Why is this the case? 
 And why has there been so much changes? Currently, it's 79.9 days. This is rather high compared to other periods. What is the reason for this? Is it the impact of COVID-19? 
Tomomi Kato: Regarding CCC, 79.9 days compared to the end of March, increase of 5.7 days. But it's the power grids acquisition having impact, increasing by 7.5 days. But with chemicals sold, that was 5.2 days, having an impact because of the sale. But on a net basis, it is still increasing by about 3 days. 
 In that regard, apart from power grids, for the energy sector as well as automotive and [ powertrain ] units, is subject to a slight increase. So if you ask me whether it's the impact of COVID-19, as I have already mentioned, the automotive industry is impacted -- having an impact on AMS, which is also the impact of COVID-19. 
Unknown Analyst: Second question, debt-equity ratio, it says 7.7 -- 0.7x this time increasing. At the end of this year, the 3 Honda Cars company will be integrated. There's a possibility that it will further increase. But there's also a possibility of selling the subsidiaries. 
 So do you think that, in the future, I think the intention was to reduce around 0.5x. Because of the selling -- divestiture as well as acquisitions, once it's completed, when -- after this run its course, so when will 0.5 be achieved? 
Yoshihiko Kawamura: Currently, target debt-equity ratio is 0.5. And in fact, it is a very difficult equilibrium to achieve. And the debt-equity ratio, the smaller, the better is not the case. But when it becomes larger, there will be higher risk. 
 The most appropriate level is around 0.5, according to our experience. That is the reason why it has been set as a target. And we are trying to achieve this by reducing the current level. The asset sales and divestiture is one way to achieve this. 
 But operating cash flow must be generated as much as possible. And by financing the investment, that can be reduced. And by so doing, we can reduce the debt-to-equity ratio. 
 We don't know what is going to happen next year. But in about 1- or 2-year time frame, we would like to go closer to 0.5x. It depends on the investment we will be making. So in this instance, we can send a specific deadline. But within 1 or 2 years, I hope that we can achieve the 0.5. 
Operator: Next question, please? 
Unknown Analyst: [Interpreted] Question. I have 2 questions. First, listed subsidiaries going forward, so construction machinery and metals, there were some coverage, news coverage, about the possible divestitures. So what is the status in -- you will be deciding the direction by the final year of the medium-term management plan 2021? 
 And Hitachi Metals, the investigation on the misrepresentation of quality test result is underway. Could you update us on that as well? 
Yoshihiko Kawamura: For listed subsidiaries, nothing has changed. By 2021, the final year of the midterm management plan, we will take solid measures. However, whether we will take in or divest, there are various options. So we are studying all options without predetermining anything. And nothing has been decided at this point. 
 So let me share with you that this is where we are. Nothing has been decided. But by the end of fiscal year 2021, this current midterm management plan, we will clarify. 
Unknown Analyst: [Interpreted] Question. My next question is, the government regarding COVID-19 to, avoid the spread, is now asking the New Year's holiday to be extended until January 11. So what are you studying regarding that? 
Yoshihiko Kawamura: Hirano would like to respond. 
Yasuo Hirano: [Interpreted] Thank you for the question. In Hitachi, since October, we have been working from home, so we are continuing our infection countermeasure. So regarding the New Year's holiday, we have not decided on changing our plans. But going forward, there may be some orders or instructions from the government or Keidanren, Japan Business Federation, so we will study as they come. Nothing has been decided as of today. 
Operator: [Interpreted] Thank you very much. We'll take one more question because we have gone beyond the allocated time. 
Yoshihiko Kawamura: Please unmute. You're very faint, but we can, yes, just hear you. Question? Please go ahead. 
Unknown Analyst: [Interpreted] I have a question regarding Lumada. For this fiscal year, the core business is growing, but the other business is not doing so well. It seems that in Lumada, what is specifically growing? And what is the part of Lumada that is struggling? Please elaborate. 
Tomomi Kato: [Interpreted] We showed you Page 6 to explain the situation regarding Lumada. The gray area is the related business. And this is products as well as services are included here. This is not growing. 
 But if you look at the core business, red here, it's growing significantly. Specifically, as mentioned here, the infrastructure related to Digital Solutions business, for finance analysts, are growing significantly. The struggling areas, specifically, after the 5 sectors, railway and strategic Construction Machinery. 
 For the Railway System, in the first half, it has been impacted by COVID-19, having an overall impact for the Construction Machinery. The parts service business is declining because of the market decline, so it is in high contrast. There seems to be significant difference between core business and the related business. Core business is very strong. 
Unknown Analyst: [Interpreted] Now in terms of finance and public sector question, these are the businesses for your core customers, I believe. So is that the part that is growing? Out of the IT segment, the existing customers' business is growing. But otherwise, that is not the case. Is that a correct interpretation? 
Tomomi Kato: [Interpreted] Yes. Your understanding is correct. 
Yoshihiko Kawamura: [Interpreted] I hope that is satisfactory. Thank you very much. 
Operator: [Interpreted] The time has come to bring -- end the Hitachi, Ltd. web conference on fiscal year 2020 second quarter earnings briefing for the media, and will be closed. Thank you very much for your attendance today. 
 [Portions of this transcript that are marked [Interpreted] were spoken by an interpreter present on the live call.]